Operator: Good day and welcome to the ClearSign Combustion Second Quarter 2017 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Matthew Selinger of Three Part Advisors. Please go ahead.
Matthew Selinger: Hi. Thank you, Brandon. Greetings everyone and thank you so much and welcome to the ClearSign Combustion Corporation’s second quarter 2017 results conference call. During the course of this conference call, the company will make forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes remarks about the company’s projections, expectations, plans, beliefs and prospects. These statements are based on judgments and analysis as of the date of this conference call and are subject to numerous important risks and uncertainties that could cause actual results to differ materially from those described in forward-looking statements. The risks and uncertainties associated with the forward-looking statements made in the conference call include, but are not limited to whether field testing and sales of ClearSign’s products will be because we completed, whether ClearSign will be successful in expanding the market for its products and other risks that are described in ClearSign’s public periodic filings with the SEC including a discussion in the Risk Factors section of the 2016 annual report on Form 10-K. Investors or potential investors should read these risks. ClearSign assumes no responsibility to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. On the call with me today are Steve Pirnat, ClearSign’s Chairman and Chief Executive Officer and Brian Fike, ClearSign’s Chief Financial Officer. So with that, I will turn the call over now to Brian Fike. Brian?
Brian Fike: Thank you Matt. And thank you to everyone for joining us on the call this afternoon. Before I turn the call over to Steve, I would like to review our results for the quarter as they have been reported on our Form 10-Q. For the quarter we incurred a loss of $2.3 million compared to a loss of $2.4 million for the same period in 2016 and a loss of $4.6 million for the six months ending on June 30, 2017 compared to a net loss of $5 million in the same period of 2016. Our cash resources at the end of the quarter were about $5.4 million and our current backlog of orders is about $1 million, which consists largely of a previously reported flare retrofit project and continuing refinery project. And with that I will turn the remainder of the call over to Steve.
Steve Pirnat: Thank you, Brian for the financial update. And thank you and welcome to the participants on today’s call. We have had several significant events occur since our last call. And I am happy to provide insight into their importance to ClearSign and our long-term shareholder value. I would also like to update you on topics discussed during last call. Now let me go over some of the recent developments that we have announced and discussed what they mean to ClearSign. First, let’s talk a little bit about our super major oil company order. We are extremely pleased to have received our first order from a super major oil company for a series of tests to demonstrate our Duplex technology in our research laboratory in Seattle. These tests are designed to simulate a series of conditions in our laboratory that will test our Duplex technology’s wide range of capabilities with respect to operational performance, emissions, fuels and safety beyond what can normally be demonstrated in an actual refinery furnace. These tests that are prerequisites to installing our Duplex technology in the customer’s actual refinery furnace and once successful will lead to further deployment of our Duplex technology more broadly throughout the super major oil company’s vast refinery operations. The exciting aspect of these tests is that the super major oil company chose to pursue our technology after they carefully reviewed our actual field performance in a refinery in California and reviewed detailed case study information of this installation provided by ClearSign at the American Flame Research Conference. The fact that they were willing to pay ClearSign for these tests is extraordinary, since most companies would gladly provide this testing for free in exchange for an opportunity to work with this super major. Thus, this disorder reflects the seriousness of their intentions and the compelling nature of our technology for them. We are building significant momentum among regulators. Another announcement we made just a couple of weeks ago was the South Coast Air Quality Management District Technical Committee approval of their recommendation to their Board of Directors for funding of a ClearSign demonstration project in a Southern California refinery. As mentioned in this release, this is subject to final approval by their Board at a meeting coming in September. However, we have high confidence that this project will receive approval. Why is this important, well, let’s look at it on multiple levels. Here we have a regulator who has seen our technology at work and wants to fund and installation at an operation in their district. They see the value and advantages of the solution that our technology brings to the emissions problems in their district. What’s the benefit to ClearSign, first, another significant successful demonstration with a new customer who has the ability to deploy our technology throughout their operations. Second and probably more importantly their district is considering BACT designation for ClearSign technology based on a successful outcome from this demonstration. BACT stands for Best Available Control Technology and is the top designation issued by regulators for this type of technology. Thus operators would be compelled to use our technology based on this designation. Joining us in this project will be Tricor Refinery, now PBF Energy and formally known as ExxonMobil Torrance. They will participate in the demonstration of proposed funding and provide us with a strong partner. We believe other Southern California refineries will also want to engage in this process at some point and we are having discussions with several. Beyond Southern California, we have had keen interest at the San Joaquin Valley Air Quality Management District who has advised us that they are considering approval of our Duplex technology as best available control technology for once-through steam generators and plan to do so in September. This would help facilitate multiple OTSG orders for major enhanced oil recovery operators throughout California. Further, California regulators are fully aware of ClearSign’s refinery and enclosed flare performance results and they are considering ClearSign for additional BACT designation of our technology in these applications. This regulatory interest should drive increased sales of Duplex technology to additional refineries and drive expansion of sales of our unique enclosed ground flare technology currently operating in Central California. Of course continued progress within the refinery and enclosed flare space creates interest and incentive for potential licensing agreements and selective discussions with key channel partners are in progress. Now, let me update you more specifically on the status of certain projects discussed during the last call. The Delek Refinery test which had been delayed for several months as reported earlier is now scheduled for installation this week. Delek has also agreed to publish a joint technical article with us for the results of this installation in one of the major trade magazines. We again are focused on reducing flaming impingement problems at Delek not just NOx submissions. The successful demonstration of our ability to eliminate flame impingement and improve furnace throughput will provide a tremendous opportunity at Delek and other refineries for de-bottlenecking key assets like coker heaters and crude furnaces. Of course this has huge potential business applications globally. Regarding enclosed ground flare retrofit projects underway, we have successfully retrofitted three of six ground flares and are working with the client to schedule the completion of the final three. During our last call, we were told that the same customer would need multiple additional flaring units and are optimistic that we will still see future business from his client. However they have not been able to identify specific needs or timeframes for these additional flares as yet and point of fact there has been some discussions internally regarding the value and productivity of the geology and the fields they are looking at, so they are really undecided as to how many wells they are going to have to drill and what kind of production they can expect. Nevertheless we have been requested by the same enhanced oil recovery customer to provide a proposal to retrofit one of several once-through steam generators based on our ability to reduce NOx and eliminate the needed FGR thus saving them considerable operating and fuel costs. We expect to receive a contract for these retrofits shortly. Let’s talk a little bit about the pipeline and additional opportunities, beyond the projects discussed our pipeline of proposals and project interest among customers continues to grow from both refineries once-through steam generators, boiler manufacturers and flares. We have seen customer inquiries both in the U.S. and in Europe and in China. China, in particular had severe air pollution problems for which ClearSign technology provides an ideal solution. We had previously announced a significant retrofit project for Duplex technology on a large water tube boiler at a major district heating supplier in China. This demonstration project is estimated to be completed within six months and represents a huge opportunity to enter the Chinese market. This particular customer has several thousand boilers that would be potential candidates for retrofit and success at the state owned enterprise will provide a great reference for a broader deployment of our technology throughout the heating district market within China. Once successful, this heating district client has expressed a keen interest in partnering with ClearSign and worthy to promote ClearSign technology throughout China. This opportunity has led to other broader interest by strategic investors among several potential Chinese partners. We are very pleased but not surprised by the intense level of interest in China for our game changing technology. And I will talk little bit about our R&D efforts. We are making good progress on our small high volume fire tube boil burner. We are striving to achieve the same performance we have already achieved in the once-through steam generators or sub-five ppm NOx at 3% oxygen without FGR. We have several boiler OEMs ready to license this technology in the U.S., Europe and China once we achieved this performance. Testing within our laboratories continues to be very promising and we have been able to achieve significant improvements as of last Friday. Five ppm NOx, but at a much higher oxygen level, nonetheless we still believe that we can achieve our state-of-the-art stretch goals of five ppm at 3% oxygen. Organizational changes, we were pleased to announce that Stephen Sock joined ClearSign as Head of Business Development. Stephen is a longtime industry veteran with extensive experience in the energy and combustion space. Steve spent 30 years of increasing responsible positions with Amec Foster Wheeler. Steve will take over for Andrew Lee who has announced his intention to retire in September. Andrew has agreed to provide consulting services to the company to facilitate a smooth transition between himself and Steve Sock. I would like to thank Andrew for his years of service and dedication to ClearSign. I remain very excited about the many opportunities among key customers, regulators and potential strategic partners like China. Nevertheless, I remain as impatient as ever to see some of these things materialize faster. It is important to note that some of the delays that we have experienced have resulted from client’s needs and schedules and ClearSign has consistently been able to adapt to meet their needs. This has enabled us to not only promote our technology, but also to establish strong relationships and advocacy among our customers. With that, I would be happy to answer any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Lou Basenese with Disruptive Tech Research. Please go ahead.
Lou Basenese: Congrats on the progress with the super major international front regulators, just wanted to see if we could spend some time maybe give us more color on each of those, China specifically you mentioned that the potential there, thousands of units and that the timeline was about six months, it’s my understanding their heating season starts typically late October or early November, I know you guys tend to be conservative with timeline estimates, is there – is it unreasonable to assume that they would want to get that installation done before the heating season?
Steve Pirnat: That’s actually right Lou. When I say, the completion of project, let’s say we got it in October towards the beginning of heating season, we would expect they would want to see the thing operating for three months before anybody would declare a victory.
Lou Basenese: Okay, that makes sense. And so the actual installation as sooner it’s just the completion of the project is about six months?
Steve Pirnat: Yes. That’s absolutely the case. And again this particular client is frankly over the moon happy with what we – what they think we can achieve and have been very forthright in offering to promote our technology throughout other heating districts within China.
Lou Basenese: Are there another partners unnamed, but do they have any type of influence over the state owned, other state owned heating districts, are they on the chair of any boards that would give them some additional soy?
Steve Pirnat: Very insightful question, it turns out the person who is head of this company, the head of this state owned entity is actually the head of the China heating district.
Lou Basenese: Okay, alright. Thanks. And then maybe just moving onto the regulators South Coast Air Quality Management District, I think you mentioned in your prepared remarks about Tesoro and PBF at the Torrance refinery, any insights into how you selected this or how the regulator selected the initial sites for installation?
Steve Pirnat: Well, the regulators left a lot of the flexibility to us to pick someone. Bluntly, I would have expected Tesoro to move faster given the hedge start they had in terms of their relationship with us, but it turned out to be PBF and of course we went with the first person who raised their hand. We still expect to see Tesoro get engaged, but from what we can understand so far from Tesoro management is that they are taking a more cautious wait and see approach to better understand what the requirements are actually going to be and what the timeline is as you probably know the South Coast Air Quality Management District went from basically a cap and trade to kind of a command and control process. So I think Tesoro wants to see what that is going to mean to them. But Tesoro made it clear when they were here that to meet any kind of South Coast standard would require a huge expenditure towards currently putting in SCRs and ClearSign technology is certainly a much, much more cost effective option.
Lou Basenese: So just wanted to drill down more – a little bit because of that transition with the regulator as they moved from cap and trade to command and control that means this test that they are doing with you in PBF could be the foundation for them to not just recommend but require ClearSign’s technology be used, because at that point they would have all the data?
Steve Pirnat: Yes. That’s exactly right though in fact if you there is on our website a YouTube link that shows the actual technical committee meeting and in that meeting one of the directors suggest that they might want to be in a position where they just require people to use the technology.
Lou Basenese: Okay, great. And then maybe moving on to the international markets, I know in the recent quarters you made a big push there, you hired Clarence [ph] for sales in Europe and then added Steve, can you just comment maybe any early traction of getting or what might be reasonable to expect in terms of new business coming in the next quarter or two quarters from their additions?
Steve Pirnat: Yes. We have a handful of projects that are open with Clarence. I actually spoke to him this morning if you can imagine, he is in Europe. So his morning is a lot earlier than my morning. But we have got a handful of customers, some of them are refiners, but others are actually boiler OEMs who have expressed interest in working with us in various forms.
Lou Basenese: Okay. I mean are those things we can expect you to move across the finish line as formal agreements here in the next three months, six months or any kind of indication on where they are at…?
Steve Pirnat: With respect to the individual, let’s say refinery projects I would certainly think those things will happen in three months or less. But with respect to negotiating a long-term license agreement with a major European boiler company, I wouldn’t want kind of pay it myself into a corner for a timeline as you know I think we had kind of fallen victim to that a few years ago. And I can say with certainty that the companies that we have spoken to have said if you can do five ppm at 3% oxygen with no FGR we want to license the technology. And frankly Lou, that’s not a real big commitment on their part, because all of their saying is if you come up with the best technology known to man in the industry, we would like to licenses it, well, I guess so.
Lou Basenese: Yes. I guess maybe at least I have just two more quick questions, one is on the technology side, you mentioned that you have had good success with the boiler headquarters at five ppm, but higher oxygen concentrations, for a layman what’s involved with getting the same results in terms emissions at a lower oxygen rate, I mean what kind of…?
Steve Pirnat: I mean continued experimentation I guess I should clarify the higher oxygen percentage has an impact on efficiency. So we are getting the lower NOx levels, but we are getting it at maybe 8% oxygen is that a five and that has inherent fuel consumption issue. We can get at 3% oxygen, we can get about 10% NOx, maybe that’s more of a steady state way to look at it. And quite frankly in most places 10% PPM at 3% NOx is an acceptable alternative technology. It’s just that we are trying to hit a homerun here. And back to answering your question, I think in simple terms, if we could bring the boiler OEM and then even the large U.S. guy we are talking to or the large European guy we are talking to bring him into our lab and show him five ppm at 3% oxygen, we could sign a deal in a week. So delay is not a negotiation part Lou, it’s he technology part.
Lou Basenese: Would you characterize that work that has to be done, I mean what’s you confidence level based upon all the development you guys have done today, I mean highly confident that you can bridge that final gap?
Steve Pirnat: I am absolutely confident we can bridge the final gap and you know bluntly, I am confident because three smarter guys than I am are confident.
Lou Basenese: Alright. Lastly I just want to ask Brian if he can might be able to comment on the cash burn, it seems to be down a little bit and what the current thinking is on the balance sheet and funding?
Brian Fike: Realistically the cash burn is down. I mean it’s just something that we continue to put some pressure on kind of staying with no the asset light capabilities that we have been at and want to be. So if it’s something that’s just always under management and being looked at finding better ways to go. Yes, I mean we are always cognizant of our capital needs and we still remain confident that we can – that some combination of the technology and the pipeline of business and our ability to convert backlog into income, develop new clients, the potential opportunities with strategic discussions with people in China and of course interest among investors will allow us to keep going.
Lou Basenese: Okay, great. Thanks for answering all my questions. I appreciate you taking time.
Steve Pirnat: Yes. Thanks Lou.
Operator: Our next question comes from Jared Mayer with Confido Holdings. Please go ahead.
Jared Mayer: Hey. Thanks for taking my questions. First on the super major, obviously without names, can you give us a little bit of an idea around sort of timeline and potential size of opportunity sort of post test?
Steve Pirnat: Post test, I would be reluctant to guess Jared. But I know they want to come in the next couple of months and witness the demonstration test here. And then the reason I am a little reluctant is what my experience is that the technical guys will I am surely here excited about the capabilities, but then they have to got to go back to a refinery operator and negotiate what asset will they take at a service and what heater and what refinery will they install this. And they have already suggested a refinery, but if I told you the name of the refinery then you would know the name the client, so I guess I am not going to do that.
Jared Mayer: Okay. And I guess…
Steve Pirnat: I think the point being – the point here and I want to make sure I don’t let people miss it is you have got a super major oil company that’s so excited about the technology, that they actually paid for something they are used to getting for free. And if it works the way they envision, it’s obviously important enough to them that they want to put it in, see how it works, because ultimately it will save them a lot of money compared to alternative NOx reduction strategies. What’s the way they think there is going to be some – there is going to be some gravitational forces at the client level to pull the technology in, because they will see it as a lower cost alternative to putting in something like an SCR.
Jared Mayer: And I guess we would become accustomed to having some of the field tests run for a bit of a time in order to meet the client requirements, what does it look like when you are doing these tests sort of more in a lab than in the field in terms of how long it needs to run and the kind of data that you can get?
Steve Pirnat: Well, the lab tests will only take maybe three weeks and the lab tests and I will emphasize this. They want us to do things in the lab that you would never, never, never do in a refinery. Run the burner at a air, pick fuel combinations that are on the ragged edge of stability and do a lot of things that gives them an extraordinary comfort level that if things get a little bit sideways in the actual field application, the burner is safe enough, stable enough to operate. And I think what they are doing is really a clever idea and something we are pleased to do.
Jared Mayer: Okay. That’s helpful.
Steve Pirnat: But because the testing is very defined, it’s a few weeks, it’s not like a – let’s put in the field for a year and see how it works. When we get done ringing out this test, then they all have seen a lot of conditions in our lab that they hopefully will never see in the field but have a higher level of confidence that if something goes wrong and it happened they are covered.
Jared Mayer: And for potential other customers that would have maybe similar units at least in terms of vertical, is that a data that you are feed and showed to other potential future customers?
Steve Pirnat: We have actually gone ahead and asked this particular company if they would mind if we had some other oil companies attend the test and they haven’t said yes yet, but they didn’t say no.
Jared Mayer: Okay.
Steve Pirnat: So to answer your question, I really think one of the things about oil companies is they tend to be pretty good at sharing information if they think it’s for the good of the industry. And I believe this company looks at our technology is something that lifts all boats. If they can come up with a technology that will dramatically reduce emissions and is cost effective and reliable, that’s something they considered to be good for the industry.
Jared Mayer: Okay. And then touching on smart pilot which should come up in one of the presentations, help me understand a little bit more about kind of what breakthrough there was there and the potential uses that you would see in the field?
Steve Pirnat: Well, all the conversation is premature, because the slide talk, I don’t – I have to think about how it guided to the public view. But it was an internal slide as part of a research report that was made. And what the smart pilot does to answer your question is the pilot has the ability to be able to make real time estimates of few air constituents and combustion efficiency. So we think the thing is really very, very slick and it’s based on certain elements of our original ECC platform. But the concern I have about delving too far into it is we haven’t quite figured out what the final version of this thing is going to look like. We haven’t figured out therefore what the final cost will be and we haven’t quite figured out exactly how much we can sell it for, which we figure will be a lot of money. But until we really do a little bit better job of framing the market opportunity, it’s still premature.
Jared Mayer: Okay. And then can you touch on Lou’s question…?
Steve Pirnat: But by the way it’s all good and it’s good and is upside.
Jared Mayer: Well, it serve that call option at the moment, touching on Lou’s question around China, you mentioned there being thousands of potential units that would be – there would be retrofits, what would it look like to actually take on that kind of a size project on the other side of the world and how do you sort of approach that?
Steve Pirnat: Well, I was trying to convince Brian fight to move to China, but he is looking and smiling. For us to do that, we would and the client himself has talked to us about setting up what’s called worthy which is wholly foreign owned entity. And they would help us provide resources to set up a company that would have a service capability and a mild let’s say subcontract capability, that’s one option. The other option is to take the current supplier of these boilers and burners, because these thousands of units have been supplied by an existing incumbent company and working with them on some form of a partnership specifically in the form of a licensing agreement. And the reason if that answers the question Jared isn’t – and we wouldn’t have to go out and hire people and build the capability, we would just leverage the existing capability and turn it into a royalty stream, the advantage of that of course as you turn a potential competitor into a partner and you use existing resources which are already substantially trained and are in operation.
Jared Mayer: Okay, that makes sense. And then lastly for me on the Europe front, help me understand sort of how investors should be thinking about sort of timeline there looking for field tests to sort of hit the ground are we looking for licensing and winking expect to start to think about some penetration?
Steve Pirnat: Well I think with respect to – let me just bifurcate the opportunity if you will. There is a refinery petrochemical piece and we are just in this kind of go to market sequencing. We are hoping to get several installations in Europe that we can use as the basis to enlist some interest among potential refinery burner suppliers in Europe. And then on the boiler side, there are some fairly large boiler OEMs in Europe who have already expressed interest is just the work of our Business Development Director in Europe about licensing the technology. But the next step there is to get the demonstration site we have in our lab up and running and then bring them over and show it to them and then figure out how we can integrate their designs with our designs. So they are kind of separate timelines. With respect to the boiler opportunity, the driver there is going to be our ability to get the five ppm 3% O2 no FGR burner developed and operating. And we are getting a lot closer, but we are not there yet. That said, we have been able to achieve that level of performance on the once-through steam generators. So without getting too much into the weeds technically, it’s certainly possible we have done it before, but scaling it down it turns out as hard as scaling it up. With respect to getting installations in Europe for refinery applications we have already demonstrated an ability to provide solutions to refinery operators and once we have some let’s say a handful three or five installations in Europe, we are going to approach some of the current European burner manufacturers about partnerships, either subcontract or license or some combination of both.
Jared Mayer: And our discussions around the installations, are those discussions underway, are those things that we could see in this calendar year or would you actually start a retrofit or should we be thinking about that more as a calendar 2018 type thing?
Steve Pirnat: Well, I would say that and to be – I would say to be conservative is probably a 2018 event because as far as I am concerned it’s September. So we don’t have that much ‘17 left. But it’s more than a dream, it’s ongoing discussions and there are projects that are we expect to close soon. So just understanding the timeline we have to get an order and then we have to get access to the asset and we have to install the equipment and we have to operate if for at least a couple of months before I am sure the customer will accept that as a success. And so you start to run out of time in ‘17 to do those things.
Jared Mayer: Okay. I will let the rest of the queue jump in. Thanks so much.
Steve Pirnat: Yes. Thank you.
Operator: Our next question comes from Robert Kecseg with Las Colinas Capital. Please go ahead.
Robert Kecseg: Hi Steve.
Steve Pirnat: Hi Robert, how are you?
Robert Kecseg: Good, I wanted to ask you about the current installations, I guess its four separate customers, I just wanted to confirm that they continued to perform as previously reported?
Steve Pirnat: Yes.
Robert Kecseg: As far as – okay. And I think you might have answered this when you said that the OTSG was 3%, so I am a little bit confused on the 3%, so take the California Refinery and the Tricor asphalt guy, what sort of – what’s the difference in their operation, what’s the percentage used there in oxygen?
Steve Pirnat: The Tricor application is a refinery application, not a boiler application.
Robert Kecseg: Okay.
Steve Pirnat: So it’s a kind of apples and apples and oranges. In a refinery application, it’s probably still running at 3% oxygen to answer your question, what’s a less difficult thing to do it in a refinery heaters than in a boiler and it’s a lot harder to do it in a fire tube boiler than in a large once-through steam generator which is also a boiler. And the reason for that is that the heat density of these fire tube boilers is significantly higher. The amount of heat that’s generated in a cubic foot of boiler is much higher than fire tube boilers, they tended to be used in schools and in hospitals and smaller applications. So that becomes the challenge. Of course, we are as I said earlier we are pretty optimistic we can get that done but again it’s a different design and requires some continued experimentation.
Robert Kecseg: So is it fair to say that $1 million or so in quarterly R&D, a lot of that’s being devoted to that have to do with this issue of the amount of oxygen and the amount of parts per million of NOx that the company is working on…?
Steve Pirnat: The R&D spending goes into a lot of different things. Yes, it goes into boiler development, it goes into additional characterization testing of Duplex technology itself. When I say just in characterizations, different fuels and different heat releases and different sizes, so the answer is yes to a lot of things.
Robert Kecseg: And then also on that Southern California air quality management, it looks to me like they were expecting to get a three part per million NOx and I thought that most of the stuff that the company was striving for, kind of as advertised was basically I guess less than five, is that the requirement that they are expecting to get on an order to pass?
Steve Pirnat: They would like as low as we can achieve, that’s one of the reasons they want to fund this thing. We have certain permitted sites that are actually operating below three parts per million, because the – ultimately the information is available through the freedom of information act, some enterprising analysts have actually gotten the information. But our obligation to our customers is not to disclose beyond the 5% which is the permitted value what we are actually getting. So the expectation with the South Coast Air Quality Management District is that they would be able to collaborate with us during the testing and get every aspect of the data for themselves as part of their let’s say intention to consider us as BACT. And the thing that’s I think is interesting to mention with respect to SCRs and it was clearly evident in the video from their technical meeting it is SCRs can arguably produce three ppm NOx consistently. But in order to do that they use an ammonia reagent which tends to provide 7% - seven ppm ammonia slip. So while they are reducing emissions with ammonia they are introducing – reducing emissions with NOx they are introducing ammonia into the atmosphere.
Robert Kecseg: So they have introduced the whole new emission?
Steve Pirnat: Yes. Again, the thing that I think if you are really interested and you said like you are in the whole discussion the technical committee actually made a very detailed presentation to their Board and it’s captured on a YouTube video on our website.
Robert Kecseg: Yes. I watched that. Thanks. I wanted to ask you about the funnel of flow, the even relatively smaller operators like Delek has taken a while to get to the point of actually make an installation and it seems like if you are trying to get to say four installations a year to generate X number of millions of dollars, it would seem like you would have to have a lot more of these trials than what we have and I know you can’t snap your fingers like that happened, but I just think it seems like in other words there is this pace, in other words there is pace that they have announcing to have the same pace, which unfortunately dragged out for a long time, so I just was wondering is there some way or some plan to try to get up to the prospects of 40 or 50 prospects to be able to somehow get towards that breakeven?
Steve Pirnat: Yes. I think there is a couple of ways to get where we want to be here. One is to work a license agreement with an OEM that’s currently making 300 or 400 boilers a month and they want to buy our burner. So then we are selling to them and they are helping us co-manufacture it. In the case of let’s pick a super major, you have a successful test and they decide that you become their new technology standard. So they buy let’s call it 50 burners a month for their normal use. And all of a sudden you are getting 50 burners a month. You look at Delek in particular, the test that they are doing which has been delayed is in a cabin heater that I believe has four or five other burners. So when this test is successful the next thing they would do is give us an order for four or five additional burners and then try to test them altogether. So the numbers could build up pretty quickly. You look at once-through steam generators and I will mention that early days we talked about our client Yara [ph] who negotiated as part of our original test program a multi-year and multi-unit contract which they haven’t executed on. Their current gating process is to have us startup and test the unit at a site in California and they want us to operate what’s called waste gas, gas that comes off a wellhead. And assuming we can do that which we kind of think is a slam dunk, they have agreed to then release the additional units. And in part because they would like to reduce the amount of fees they are paying for their excess emissions, the refiners refer to them as fees you and I would call them fines, but reduced the amount of fines. So a success with somebody like that would result in multiple units based on what we have done so far. So there is a lot of opportunities for add-on business with existing customers. And certainly the strategy overall is the multiplying effect you would get for having someone like a Chinese district heating company that if successful has really literally thousands of potential installations or a super major oil company or licensing the technology to an existing burner company that already has a huge book of business. All of that said, there is no doubt that we are starting to see increased numbers of inquiries which is all very promising. But not at the pace that we are hoping to get to which is really the 20, 30, 40, 50, to your point the math we are doing that the way we are doing it would require an extraordinary amount of time and that’s not how we plan on doing it. We think it’s going to happen through licensing and through bolt-on business with existing customers that already have additional demand and they are waiting to see how the technology performs. So I think there is a lot of upside opportunity for accelerating demand.
Robert Kecseg: I think I really understand.
Operator: I think we have lost Mr. Kecseg’s line. [Operator Instructions] Our next question comes from David Brown a Private Investor. Please go ahead.
David Brown: Hi Steve and congratulations on all the recent business deals.
Steve Pirnat: Yes. Hi Dave. Thanks.
David Brown: Yes. My questions have been answered quite a bit, but there is just one point that I know a lot of longtime investors like myself are rather frustrated right now because we are at this kind of I would call at a schizophrenic time where we have had great news really about lots of new business deals, the thing we are lacking is revenue, I think that’s what the market is fearful of is the slowness of the revenue and possibly fears of more dilution in the share price, so what – I know we don’t necessarily talk primarily about share price at a conference call, but it is the reality that many of us investors are dealing with, I think you answered it just now a bit with what you have talked about, but can you give me a little more color about how we can get from this frustrating point at which we have seen the share price go up a little bit with the announcement of the super major a little bit with the Chinese announcer, but then it comes right back down again?
Steve Pirnat: Yes. I don’t know what question you are asking me to answer?
David Brown: I guess I am asking what is it going to take to get the revenue to start the flow, because that’s been the real challenge?
Steve Pirnat: Okay. Well, that’s that was I guess the question I have tried to answer for the previous caller. The revenue will start to flow when we get our project in China moving, when we get our testing done with our super major oil company where we start to see some add on business from some of our current once-through steam generator OEMs when we perfect our fire tube boiler burner as I described it five ppm low oxygen, but we can then start licensing it to the various boiler OEMs that really use hundreds of these things, I would say hundreds of them a month, that’s how you kind of create the inflection point when you start to see some momentum. And then in the backdrop of all of this, you have interest among potential license orders who are current incumbent that perhaps see our technology as an opportunity to not only accelerate their business, but based on the value proposition that we can provide may be a way to enhance some of their margins, because they are selling the equipment in some cases more expensive to make and isn’t as productive in terms of fuel consumption or emissions performance. So I think those four things is what’s going to drive revenues to the point where we start to see some momentum around sales. But and I agree I think if we had a $25 million to $30 million backlog I think the stock prices would go up, is that your question I agree.
Operator: Our next question now comes from Robert Hoffman with Princeton Opportunity Management. Please go ahead.
Robert Hoffman: Hi Steve. Thanks for taking. I have a couple of disparate questions, it sounds like the super major testing it’s not that they don’t believe your system works under normal circumstances they have kind of bought into that, they are really just trying to push the extremes is that a good characterization of what’s…?
Steve Pirnat: Yes. I think that’s very insightful. I mean as I have said in the opening remarks, they based – their interest on a case study that we did at a refinery in Central California. And they were given very comprehensive performance information through an article that was written by Dr. Ruiz and submitted to the American Flame Research Institute. So they embedded the technology operating under normal stances very carefully. But what they were wondering is and that’s why refineries tend to want to let something run for 2 years or 3 years before they decide what they are doing, in this case is are saying let’s in a laboratory environment where we can really challenge the system to do things that might be black swan events, let’s try to challenge the technology under some extreme samples and based on how it performs determine if we rung out more of the risk than we would normally see in a typical 1 year or 2 years of normal refinery operation. For example what they like do is they like to reduce the amount of available oxygen, so that the burner basically snuffs out and we can control something like that in our laboratory, but you would never do that in a refinery.
Robert Hoffman: Right and by doing that it’s not like they expect it when oxygen gets to be 1% for you to have NOx, no they just want to make sure there is not some ancillary event that happens when it gets to be that low or not at all…?
Steve Pirnat: People [ph] want to better understand the behavior and in some cases that will tell them what kind of safe the instrument protocol they need to install.
Robert Hoffman: Got it. Getting from lowering the oxygen level to keep that NOx served – get the NOx under 5% for those of us who were combustion engineers what is it take to do that is it a tweaking of the like the fuel mixture, is it a tweaking of the design of the tiles are where the tiles go, when you say you are confident that you will get there, can you just kind of give us some parameters of what it takes?
Steve Pirnat: I think what we are looking at is different orientation of the tiles and different configurations of the tiles, how many holes, how thick how wide, how long and I guess I am a little bit reluctant to disclose intellectual property in our lab over the phone, given the fact it has the callers or competitors.
Robert Hoffman: I understand, so it’s a, but it sounds like you don’t have to find a new material for the tiles anything like that, it’s just it sounds more like a kind of tile design and placement issue from what you said?
Steve Pirnat: Yes. I mean to answer your question in the way we use to kid about it. We don’t have to find on obtaining them to make this work. In the smaller higher heat density applications we are pushing the temperature limits on some of the refractory materials so we are looking at existing materials with materials that have higher melting points.
Robert Hoffman: Got it. And to follow-up on one of questioner’s question about installing if you were to get a thousand unit order in China and I think you talked to a little bit about the legal structure and then a little bit about the installation personnel structure, but want to make sure I understand that the production of tiles or the manufacture of tiles will never be a gating issue, once you come up with a design the manufacture of those which are outsourced should be very scalable, correct?
Steve Pirnat: Yes. I mean that’s correct, I mean one of the largest suppliers of the more common variety of ceramic materials is actually in China.
Operator: It looks like we have run out of time. So this concludes our question-and-answer session. I would now like to turn the conference back over to Steve Pirnat for any closing remarks.
Steve Pirnat: Okay. Well, once again, I would like to thank everyone for joining the call today. And we appreciate your continued support.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.